Operator: Ladies and gentlemen, thank you for standing by. Welcome to the VPG's First Quarter Fiscal 2024 Earnings Call. [Operator Instructions] 
 I would now like to turn this conference over to our host, Steve Cantor, Senior Director of Investor Relations. Please go ahead. 
Steve Cantor: Great. Thank you, Candice. Good morning, good afternoon, everyone. Welcome to our first quarter 2024 earnings conference call. Our Q1 press release and accompanying slides have been posted on our website at vpgsensors.com. An audio recording of today's call will be available on the Internet for a limited time and can be accessed on our website. Today's remarks are governed by the safe harbor provisions of the 1995 Private Securities Litigation Reform Act. Our actual results may vary from forward-looking statements. For a discussion of the risks associated with VPG's operations, we encourage you to refer to our SEC filings, especially the Form 10-K for the year ended December 31, 2023, and our other recent SEC filings. On the call today are Ziv Shoshani, CEO and President; and Bill Clancy, CFO.
 I'll now turn the call to Ziv for some prepared remarks and refer to Slide 3 of the quarterly presentation. 
Ziv Shoshani: Thank you, Steve. I will begin with some comments on VPG's consolidated financial results and sales trends for the first quarter. Bill will provide financial details about the quarter and our outlook for the second quarter. Moving to Slide 3 to summarize the quarter results. Operationally, we performed well given the mixed business environment, which resulted in a lower revenue compared to a year ago in the fourth quarter. Orders were flat sequentially, reflecting continued soft demand, mainly in the Industrial Weighing and Semiconductor Test Equipment. We achieved record gross margins despite the lower revenue, reflecting ongoing cost reduction initiatives. 
 Our cash flow remains solid, and we continue to repurchase our common stock. Before providing details regarding the first quarter, I want to take this opportunity to summarize our strategy to accelerate VPG's long-term growth. Moving to Slide 4. As we have described in the past several quarters, we believe VPG is coming to an important inflection point as we pivot our strategic priorities to accelerate our growth and achieve our long-term targets. Our strategy leverage both organic and inorganic initiatives to address larger, faster-growing markets. These opportunities are driven by key technology trends, including electrification, industrial automation, defense and aerospace technologies that requires greater precision and performance. 
 Our organic growth strategy comprises initiatives in each of our business reporting segments that expand our business development and engineering capabilities to capture new customers as well as to expand applications we address. We are investing more in these areas in 2024 and are offsetting this investment with ongoing cost reductions and efficiency initiatives. While some of these initiatives are still in the early stages, we are already seeing an increase in the funnel of opportunities. 
 To summarize some of these opportunities in the Sensor segment, we are leveraging our Advanced Sensor Technology to further penetrate the e-bike market. We are making progress in the medical and surgical robotics as well as with humanoid robots we have discussed previously. For precision resistors, we have expanded our engagement with data center and fiber optics equipment manufacturers. In Weighing Solutions, we are working with the leading OEM customers for precision agriculture and construction equipment on their next-generation equipment. We have also launched vLite and lighter-weight force sensors, which is targeted for the Industrial Weighing market. 
 In the measurement systems, one of the key initiatives is to broaden our market beyond steel manufacturers, to address application at aluminum mills which is a new market for us. In the first quarter, we received an initial order for this solution. We are expanding our product offering, DSI with a new version of our global system designed to test small samples in additive or 3D manufacturing systems. Concurrent with our programs aimed at growing our top line, we are continuing our focus on operational excellence. Our investments in operational capabilities and efficiencies and increased automation have positioned VPG to address higher volume opportunities and to achieve new level of profitability as revenue grows. 
 To augment our organic initiatives and to leverage our strong business platform and balance sheet, we are continuing to look at attractive M&A that provides us with additional scale and product offering to expand our opportunities. Moving to Slide 5. Turning to the first quarter results in detail. We reported sales of $80.8 million, which was at the low end of our guidance. We were pleased with ou gross margin performance, which reached a record level for VPG. Bill will provide more comments regarding our gross margin on a consolidated basis and by segment. Our cash flow was solid, and we generated $13.2 (sic) [ 12.3 ] million of adjusted EBITDA and adjusted EBITDA margin of 15.3% and adjusted free cash flow of $4.2 million.
 Our book-to-bill improved to 0.93 compared to 0.84 in the fourth quarter. Orders of $75.3 million were even with the fourth quarter levels and reflected continued mix trends across our markets. Specifically, orders in avionics, military and space, Transportation and in consumer applications were sequentially higher, while bookings in the Industrial Weighing and Test & Measurement markets were weaker as some customers continue to work down their inventory levels. Given the cross-currents in the current macroeconomic environment, our expected recovery in demand has been pushed out to the latter part of this year. I'll now review the quarter's highlights by segments. 
 Moving to Slide 6, beginning with our Sensors segment. First quarter revenue of $29.4 million declined 19.9% from a year ago and 14.1% compared to the fourth quarter. Sequentially, the decrease primarily reflected lower revenue of precision resistors in the Test & Measurement and AMS markets. Orders for sensors of $26.7 million were 8.9% lower sequentially, which resulted in a book-to-bill of 0.91. Bookings for precision resistors were soft as distributors and OEM customers continue their cautious order patterns. Bookings for the semiconductor test and AMS market were lower, reflecting the timing of customer orders and projects. 
 We are pleased with our progress with Advanced Sensors for both ongoing and new OEM engagements. While sales of Advanced Sensors softened modestly compared to the fourth quarter and the year ago, orders for consumer applications continue to improve. 
 Moving to Slide 7. Turning to our Weighing Solutions segment. Sales of $28.8 million were 9.5% lower than a year ago and 5.2% lower than the fourth quarter of '23. Sequentially, lower sales of force sensors in our other markets for precision agriculture and construction applications and lower sales of force sensors in our Industrial Weighing markets were partially offset by increased sales in the Transportation market. Book-to-bill for Weighing Solutions was 0.95, orders of $27.5 million was essentially flat with the fourth quarter. This reflects soft demand in our Industrial Weighing market as well as in Other markets for precision agriculture and construction equipment, offset by increased orders in Transportation. 
 Moving to Slide 8. Turning to our Measurement Systems segment. First quarter revenue of $22.5 million grew 11.1% from a year ago and decreased 9.3% sequentially. The sequential decrease in revenue was primarily due to lower sales of DTS products in the AMS and Transportation markets, partially offset by higher sales in the Steel market. As we have discussed before, the Measurement Systems businesses are project driven and sales trends reflect the timing of customer projects. Book-to-bill ratio for Measurement Systems was 0.94 as orders of $21.1 million increased 16.4% from the fourth quarter. 
 The sequential order growth was driven by higher orders for [indiscernible] products as well as higher orders for DTS, which included in a multimillion order for North American developer of eVTOL or Electric Vertical Takeoff and Landing aircraft. This offset lower orders for DSI's metal alloy development systems. 
 Moving to Slide 9. We are continuing to implement our balanced allocation strategy that creates stockholders value to organic growth, successful M&A and warranted stock repurchases. In the first quarter, we repurchased $2.8 million of stock or 85,000 shares. From August 2022, when we announced the buyback program to the end of Q1 of '24, we have repurchased $11.4 million of stock. In addition to further leverage our business platform, we have continued to look for attractive and value-creating acquisition opportunities. 
 Before turning the call to Bill, I would like to add the following points. We are excited about the business development effort around VPG that we are aimed at accelerating our long-term growth. At the same time, we are maintaining our ongoing focus on cost controls and operational excellence. 
 I will now turn it over to Bill Clancy for additional financial details. Bill? 
William Clancy: Thanks, Ziv. Referring to Slide 10 and the reconciliation tables of the slide deck. Our first quarter revenue declined 9.8% from the fourth quarter of 2023 and were 9.1% below the first quarter a year ago. Gross margin in the first quarter of 43.4% grew from 43.0% in the fourth quarter of 2023 to a record high as improved manufacturing efficiency and cost reductions offset the negative impact of lower volume. 
 By segment, gross margin for the Sensors segment of 36.5% declined sequentially, primarily due to lower volume, partially offset by improved efficiencies. Weighing Solutions gross margin of 39.1% grew in the fourth quarter to a record high, reflecting a reduction of inventory in the fourth quarter, which did not repeat in the first quarter of 2024, as well as cost reduction programs which were partially offset by lower volume. 
 The Measurement Systems gross margin of 58.1% improved from the fourth quarter, reflecting favorable product mix and positive inventory adjustments that were partially offset by lower volume. Total selling, general and administrative expenses for the first quarter were $27.4 million or 33.9% of revenues as compared to $26.4 million or 29.4% of revenues in the fourth quarter of 2023. The sequential $1 million increase in SG&A was mainly attributable to 2024 incentive compensation accruals, typically booked in the first quarter of the year. The first quarter results included a restructuring charge of $782,000 associated with severance and headcount reductions related to cost reduction programs, mainly in the Sensors segment.
 Operating margin was 8.6% for the first quarter. Adjusted operating margin in the first quarter was 10% as compared to 13.6% in the fourth quarter of 2023, primarily reflecting the lower revenue. The adjusted net earnings for the first quarter were $5.7 million or $0.42 per diluted share compared to $8.2 million or $0.61 per diluted share in the fourth quarter of 2023. Adjusted EBITDA was $12.3 million or 15.3% of revenue compared to $16.5 million or 18.5% in the fourth quarter of 2023. Purchase CapEx in the first quarter was $2.6 million. For the full fiscal 2024, we expect purchase CapEx to be in the range of $14 million to $16 million. 
 Adjusted free cash flow was $4.2 million for the first quarter as compared to $13.5 million in the fourth quarter and $5 million in the first quarter of 2023. We define adjusted free cash flow as cash from operating activities of $6.4 million, less capital expenditures of $2.6 million, plus the sale of fixed assets of $400,000. The GAAP tax rate in the first quarter was 28.4% compared to 24.1% in the first quarter of 2023, primarily reflecting a higher proportion of income and higher tax rate jurisdictions. The first quarter operational tax rate was 27%. We are assuming an operational tax rate in the range of 26% to 28% for the full year of 2024. 
 Moving to Slide 11. We ended the first quarter with $83 million of cash and cash equivalents and total debt of $31.9 million. Regarding the outlook. For the second fiscal quarter, given the current market conditions and our backlog, we expect net revenues to be in the range of $75 million to $85 million at constant first fiscal quarter 2024 exchange rates. In summary, we had a record gross margin on sequentially lower sales. We generated solid cash flow and continue to repurchase our common stock, and we continued our strategy focusing on accelerating our growth with strategic initiatives on larger, faster-growing opportunities. 
 With that, let's open the lines for questions. Thank you. 
Operator: Thank you. [Operator Instructions] So the first question that comes from the line of Griffin Boss of B. Riley. 
Griffin Boss: So first, I'll just -- on the operating expense side, I was expecting to see a bigger ramp in SG&A in the first quarter related to those business development and R&D initiatives you talked about to drive additional growth in 2025 and beyond. I guess can you just talk more about your expectations for growth investments and maybe OpEx projections going forward for the year? 
Ziv Shoshani: Yes, when we are looking at the initial projection regarding business development and engineering and sales resources in order to accelerate organic growth, we took the assumption that we are expecting a certain hiring within a given time. So as we are moving forward, we started to hire the personnel. Apparently, we are a little bit behind the curve. The expectation is still to meet those targets in order, again, to assure accelerated growth. Regarding OpEx, the OpEx investments currently for this year mostly is expecting to support cost reduction initiatives, which you have seen. Some of them already being realized in Q1. And the others is also, I would say, supporting some high volume expansion product line, which we do expect to see some of the orders coming through next year. 
Griffin Boss: Okay. Great. Ziv, that's helpful. I guess, along those lines in terms of just more operational efficiencies, the gross margin was obviously very strong. In the past, you've published quarterly financial models, which outlined profitability expectations on certain revenue ranges. It seems like that gross margin expectation is sort of structurally higher at this point. Is it -- would it be fair to assume that that's the case going forward with regards to your long-term model? 
Ziv Shoshani: Yes. I would say that the target that we have published a while ago regarding the 45% gross margin is still viable. You are correct, we are a little bit ahead of the plan. At this point in time, we believe that given the exchange rate, the product mix and the sales revenue, this gross margin is sustainable. And the expectation is to continue and improve that meeting our longer-term targets. 
Griffin Boss: Okay. Great. And then I wanted to dig into the Measurement Systems. You talked about, I mean, obviously, strong sequential growth in orders there and that multimillion-dollar award for an eVTOL customer. Is that a new customer or one of the existing customers you've mentioned in the past that you're working with? 
Ziv Shoshani: Yes. The whole eVTOL sector is kind of a new sector for us for DTS. As you know, DTS has 2 end market verticals. One is automotive and the other one is defense. In the classical automotive market, the total business was supporting all the sensing related activity for crash damage. Over time, we have developed another vertical, which is selling our miniature data acquisition systems to other type of, let's call it, automotive type applications. EVTOL is one of them and we do expect it to grow at least 20% year-over-year. At this point, it's fairly -- it's really couple of millions. But as this business is expecting to grow, we have been designed already at some key customers, and they are running autotype testing, and we do expect to grow as the market grows. 
Griffin Boss: Okay. Great. And then if I could just squeeze in one more. You mentioned, obviously, the avionics, military and space. Revenue, I guess I was surprised to see it come in where it seems kind of like it's perhaps in the trough right now, but you had sequential growth in orders. If I remember correctly, on the last earnings call, you mentioned expectations for modest growth in that end market, at least as it related to orders in the first half. So are you -- I guess, what are you seeing now heading into the second quarter with regards to order trends in that segment for the second quarter? 
Ziv Shoshani: So regarding AMS, we are selling 2 different product lines. One product line in precision resistors, which we are selling more to, let's say, call it electronic-based applications, which we see those projects are being, let's say, placed, we are getting those orders. So this is really more project based on the resistor side, and it's quite sustainable. The other piece where we are selling to AMS is the DTS product. The DTS products, we have been designing our, what we called, [women], which is crash dummies for military applications. 
 Those are high-ticket items in terms of sales orders. It's around, I would say, $1.5 million to $2 million per item. At this point in time, we have been designed with some key projects, we have been approved by the U.S. Army and NATO. But I would say that the expectation is once those projects would be released, those orders will be placed. So we are kind of just waiting for the funding to be released for few armies, including the U.S. Army, but we have been designed in. So this is just a matter of timing. And we do hope that through the second half of the year, those large orders would be placed. 
Operator: Thank you. [Operator Instructions] As there are no additional questions waiting at this time, I'd like to hand the conference call back over to Steve Cantor for closing remarks. 
Steve Cantor: Great. Thank you all for joining the call. I do want to let listeners know before we conclude that we will be participating in the B. Riley Investor Conference on May 23. It's an in-person conference. We do look forward to updating you next quarter. Thank you all, and have a great day... 
Operator: Ladies and gentlemen, this concludes today's call. Have a great day. You may now disconnect your lines.